Operator: Good afternoon, and welcome to the Paycom Software Third Quarter 2018 Earnings Conference Call. [Operator Instructions] Please note today's event is being recorded. And with that, I would like to turn the conference over to Mr. Craig Boelte. Please go ahead.
Craig Boelte: Thank you and good afternoon. Before we get started, I would like to note that certain statements made during this conference call that are not historical facts, including those regarding our future plans, objectives and expected performance, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements we have made or make in this presentation are reasonable, actual results could differ materially because the statements are based on our current expectations and are subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the Securities and Exchange Commission, including our Annual Report on Form 10-K for the year ended December 31, 2017. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statements speaks only as of the date on which it is made and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Also during the course of today’s call, we will refer to certain non-GAAP financial measures. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of market today which is available on our website at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom's President and Chief Executive Officer. Chad?
Chad Richison: Thanks Craig. And thanks to everyone joining our call today to review our third quarter 2018 results. I’ll start with some comments on the progress we achieved during the third quarter, along with some developments in our business and how we view the market for the payroll and human capital management or HCM software industry. Craig will then provide an update on our financials and guidance. Following that, we will open the line for questions. We had an excellent third quarter. Our momentum continued us companies across a wide range of industries and geographies turned the Paycom to help them achieve success. Third quarter revenue of $133.3 million represented growth of 32% over the comparable prior year period. Adjusted EBITDA was $49.2 million representing a 37% adjusted EBITDA margin. During the third quarter we returned value to our stockholders by repurchasing over 30,000 shares. Our success is being driven by the employee digital transformation that has come to the HCM industry. Employees of clients using the Paycom solution have a direct relationship with the database. This is the way it works with all consumer-based technology. So employees are already accustomed to it. This is the Paycom model today and is expected to be the model for all in the future. HCM products where employees do not have a direct relationship with the database will find it challenging to maximize ROI for business. We have been working on executing this vision for several quarters and it's really starting to drive results across the board both with new sales and also with helping existing clients leverage the Paycom system to enhance their operations. We believe the industry is at the beginning of this wholesale transition and that Paycom is leading the charge. As we continue our mission of helping clients improve their businesses with our best-in-class HCM solution, we are enjoying increasing traction with larger companies. Due to this, we are pleased to announce that we are expanding our proactive sales efforts from targeting firms with 50 to 2000 employees to targeting firms with 50 to 5000 employees. We have had great success selling to organizations above the 2000 employee level as word-of-mouth about the Paycom solution frequently pulls in larger company leads to our sales group. With this change we are announcing today empowers our sales representatives to proactively target companies in this expanded segment and we are excited by this incremental opportunity. We have many clients in this segment already and several clients larger than 5,000 employees. So we are confident that our solution will compete and serve these clients effectively. Our marketing team is working hard to enlarge your sales funnel. As many of you have seen, we launched an extensive marketing campaign in the third quarter highlighted by our national TV commercial and also featuring digital radio, digital video, and social media. In addition, we are covering major market airports and estimate our commercials and other campaign assets will be seen over 280 million times. In fact, the first week of the campaign delivered nearly 30 million impressions alone. We believe these marketing efforts will continue to elevate our brand. Importantly, this commercial doesn't just advertise the Paycom solution but demonstrates the way employees will interact with HCM technology of the future. Our growth continues to gain recognition. In August, Paycom was ranked fifth on Fortune Magazine's 2018 100 Fastest-Growing Companies list of domestic and foreign publicly traded companies based on revenue growth, profit, and stock returns over the past three years. This was the second consecutive year we've made the prestigious list. We were the only software as a service technology provider in the payroll and human capital management industry to place in the top 100 and landed on the list above company such as Facebook, Amazon and Netflix. We were excited to see the Oklahoma Sports Hall of Fame announced a list of semi finalist for the Paycom Jim Thorpe Award which is presented annually to the top defensive back in college football. The three finalists will be announced on November 19, and the winner will be announced live on December 6 on ESPN. Finally I would like to highlight that we recently celebrated our 20th year of business. I want to thank all of our dedicated employees and loyal clients for their support in this journey. I'm very proud of all that we have achieved over this period of significant growth. Today, I am more confident than ever that we have the right people, product and culture to continue our success. To sum up, Paycom is leading the digital transformation of the HCM industry and this leadership is reflected in our strong results. With that, I'll turn the call over to Craig for a review of our financials and guidance. Craig?
Craig Boelte: Before I review our third quarter results for 2018 and also our outlook for the fourth quarter and full year 2018, I would like to remind everyone in my comments related to certain financial measures will be on a non-GAAP basis. Also we adopted the new accounting standard ASC 606 on January 1, 2018 utilizing the full retrospective method of transition which required us to recast the prior period presented. Our comparisons discussed in today's call reflect those adjustments. We use adjusted EBITDA and non-GAAP net income as supplemental measures to review and assess our performance and for planning purposes. Adjusted EBITDA and non-GAAP net income are non-GAAP financial measures that exclude non-cash stock-based compensation expense and certain transaction and other expenses that are not core to our operations. Non-GAAP net income also reflects adjustments for the effects of income taxes. Reconciliations of the GAAP to non-GAAP measures discussed today are included in the earnings press release issued earlier this afternoon. We were pleased with our third quarter results with total revenue of the $133.3 million representing growth of 32% over the comparable prior year period. Our revenue growth continues to be primarily driven by new business wins and we are pleased with our continued improvement in sales productivity. Within total revenues, recurring revenue was $130.8 million for the third quarter of 2018 representing 98% of total revenues for the quarter and growing 31% from the comparable prior year period. Total adjusted gross profit for the third quarter was $111.5 million representing an adjusted gross margin of 84%. For the full-year 2018 we anticipate that our adjusted gross margin will be within a range of 84% to 85%. Total adjusted administrative expenses were $70.7 million for the quarter as compared to $49.6 million in the third quarter of 2017. Adjusted sales and marketing expense for the third quarter of 2018 was $35.2 million. As Chad mentioned, sales and marketing expense was elevated this quarter and we expect that it will be elevated in the fourth quarter due to our national advertising campaign. Adjusted R&D expense was $11.3 million in the third quarter of 2018 or 8.5% of total revenues. Total adjusted R&D cost including the capitalized portion were $16.1 million in the third quarter of 2018 compared to $10.8 million in the prior year period. Adjusted EBITDA was $49.2 million in the third quarter of 2018 compared to $40.4 million in the third quarter of 2017. Our GAAP net income for the third quarter was $28.8 million or $0.49 per diluted share based on approximately 59 million shares versus 20.9 million or $0.35 per diluted share based on approximately 59 million shares in the prior year period. Our effective income tax rate for the third quarter 2018 was 21%. Non-GAAP net income for the third quarter of 2018 was $30.6 million or $0.52 per diluted share based on approximately 59 million shares versus 23.2 million or $0.39 per diluted share based on approximately 59 million shares in the prior year period. We anticipate our full year effective income tax rate to be 21% to 22% on a GAAP basis. On a non-GAAP basis we anticipate our full year effective income tax rate to be 25% to 26%. In the third quarter we returned value to our stockholders by repurchasing over 30,000 shares including over 11,000 shares purchased in the open market. We anticipate fully diluted shares outstanding will be approximately 59 million shares in the fourth quarter of 2018. Turning to the balance sheet we ended the quarter with cash and cash equivalents of $85 million and total debt of $34.8 million. As a reminder, this debt represents a financing of construction at our corporate headquarters. Cash from operations was $45.5 million for the third quarter reflecting our strong revenue performance and the profitability of our business model. The average daily balance of funds held on behalf of clients was approximately $888 million in the third quarter of 2018. Now let me turn to guidance for the fourth quarter and full year for fiscal 2018. For the fourth quarter of 2018, we expect total revenues in the range of $142.5 million $144.5 million representing a growth rate over the comparable prior year period of approximately 26% at the midpoint of the range. We expect adjusted EBITDA for the fourth quarter in the range of $49.5 million to $51.5 million representing an adjusted EBITDA margin of approximately 35% at the midpoint of the range. For fiscal 2018 we're increasing our revenue guidance to a range of $558.5 million to $560.5 million or approximately 29% year-over-year growth at the midpoint of the range. We are increasing our full year 2018 adjusted EBITDA guidance to a range of $233 million to $235 million representing an adjusted EBITDA margin of approximately 42% at the midpoint of the range. With that, we will open the line for questions. Operator?
Operator: [Operator Instructions] Today's first question will come from Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Chad can we talk a little bit about the changes you announced - you mentioned earlier in terms of where sales people can sell. Going up from the 2000 as this kind of the sealing up to 5000, obviously a big step for you can you just double click on that little bit like part of that reason why you were in 2000 is because there is more service model where as you go to 5000 it’s more a software model and then also the other things like your concerns in the past were a little bit it seems you remember that you know it’s kind of big elephant hunting and it’s kind of difficult to get the sales velocity that you wanted. Can you talk a little bit what kind of drove your decision here?
Chad Richison: Yes, and so thanks Raimo. I will point out that we use to highlight deals that we sold above our range of 2000 employees on the earnings calls. We continue to highlight them until about a year, a year and a half ago or so as we continue to bring them in. And so all that's to say that this is in a new territory for us, we continue to be driven up market through request. We've both sold and converted several above our range this past quarter. And so this is really our proactive sales efforts as I've spoken before our sales reps proactively target companies that have between 50 and 2000 employees as we are pulled up above that range we do sell them. Now we have as we continue to be pulled up range, as well as our products become easier to sell. We are now allowing reps to proactively target those companies from 2000 to 5000 as well.
Raimo Lenschow: And then last quarter you talked a little bit about the focus on - slightly different sales motion and the focus on usage. Can you talk a little bit about what you saw this quarter in terms of the organization getting comfortable around that and success stories there?
Chad Richison: Yes, I mean our product is - I guess I would say increasing - we’re increasing the gap of differentiation between our product and what we believe is out there in the marketplace. It's making it easier to sell and honestly I'll be updating the sales capacity number next quarter. This year a record that was set a couple of years ago by a sales rep that have been here 10 years has already been broken by a rep that’s been with us for 14 months and we’ve still got months left in this year . And so our newer reps we’re having lot more success with them as we made it easier for prospective clients to recognize the advantages they receive from using this type of technology. And so we’re having some success with that as well.
Operator: Next question will be from John DiFucci with Jefferies. Please go ahead.
John DiFucci: Chad my first question is more of a competition question and I think a lot in the investment community have been talking more about ADP. And ADP is talking about slightly better retention rates and that they pulled most of their midmarket customers to SaaS - their internal SaaS solutions now. And I'm just curious is that has that changed at all I mean ADP has been a source of customers not only for you but for others in the business. And I'm just curious if that's changed at all your go-to-market what you sense on a competitive front from ADP?
Chad Richison: Yes, I’m not going to get into each competitive or alternatives to us individually but what I would say is kind of go back to the prior statement I made. We have created further differentiation and we widened the gap between Paycom and other products. And how someone is going to use the Paycom product is going to be different than how they are using these other traditional providers. And so I wouldn't say that there is any change to that as far as how our value proposition is able to impact any of our competitor’s clients.
John DiFucci: And I guess let's sort of follow-up to Raimo question going after the 2 to 5K employee customers. Has there been a change in the customer base because one of the reasons I think you and others don't tend to go bigger is because bigger customers demand customization, more customization and I think lot of your and their customers when you do sign them has said, hey listen, we’re going to go with your best practices, you do it you're the expert we’re new there. Are you seeing more bigger customers accepting of SaaS solution that has best practices that perhaps doesn't want to go and customize and have a lot of services around it. Is that something - is that any change you are seeing in the market or you just - that's trying to get to again what Raimo said about like the reason that it makes sense to do that now?
Chad Richison: Yes, I mean we continue to see a progressive attitude towards larger companies that believe that they can implement these types of solutions. And we’ve seen that for a while. I have again I have continued to highlight since 2014 and talk about the fact that we continue to sell businesses at the top end and above our range. And so we’ve had so much success with that we are now allowing sales reps to proactively target that. Do I think that's going to change the way our sales reps approach their territory, no, because you still have a limited number of prospects in your territory in the range from 2000 to 5000 as you look at any one sales reps, any one sales rep. And so, I believe that we stayed in this range, we've increased our value proposition. We continue to be hold further up market because one thing you have to realize is and some of these products we can go into a client and ask them to show us how their employees used the product, it can take them 20 minutes to pull everything up. And in Paycom's product its one solution, it’s on the app and desktop. And so at some point you look at what's the difference between an employee that works at a 2000 employee company or an employee that works at a 4000 employee company. There is not a large difference there and so again we had success in the market and this is just us allowing our sales reps to proactively approach that market.
John DiFucci: And thanks Chad, and just - I'm sorry I’m going to ask one follow-up because I’m a little perplexed with the stock action after [indiscernible] by the way. But going after this market this isn’t that - is this have any - is it has anything to do with your existing business starting to show I mean that the numbers look good to me. But show any kind of weakness where you think you need to expand or is this like an incremental opportunity?
Chad Richison: Absolutely not, this is an incremental opportunity and again I will say as I had highlighted in the past, we’re already in this market, we’re just making it official for our sales reps.
Operator: Next question today will be from Mark Murphy with JPMorgan. Please go ahead.
Matt Coss: This is Matt Coss on behalf of Mark Murphy, thanks for taking my question. Craig you mentioned you’re pleased with continued improvement in sales productivity. Are there any specific metrics you can point to that make you feel this way about sales productivity? And then you also mentioned your 880 million average daily float balance. Can you share with us the rate that you earned on that and any expectations for the rate you might earn on that going forward that’s contemplated in your guidance?
Chad Richison: Yes. So I’ll kind of start with the first one metrics on sales productivity. I think one of the biggest metrics on sales productivity is revenue production which is reflected in our numbers that we reported this quarter. I've given you something a little bit anecdotal and talking about how our new reps are having so much success. As a reminder, last year our sales rep of the year was a rookie. This year as I pointed out a rep that’s been with us 14 months is going to set a single record and maybe more of them by the way. We we’re still a couple months away from year-end but one rep has already surpassed a record that was set by a 10-year rep a couple years ago. And so, we have made it easier to sell as we have been able to deliver stronger ROI that’s easier to identify from the client. In regards to the float that we make of, that's not something that we’ve disclosed specifically Craig I don’t know if you want to provide any more color on that.
Craig Boelte: Yes, I mean that’s a rate that we have not disclosed in the past. As we mentioned in the past those are client funds and like typically are invested in a short duration. We don't - it would be dangerous to include in our guidance any future rate increases so we do not do that.
Chad Richison: But I will also say this is that our approach to interest rate and how we manage that has not changed from one quarter to the last.
Operator: Next question today will be from Mark Marcon with R. W. Baird. Please go ahead.
Mark Marcon: I was wondering if you could talk a little bit about the sales and marketing efforts. Just wondering how much is incremental as we look at just this past third quarter and looking to the guidance in terms of the fourth quarter, how much more are you spending for that relative to the sales? And within sales separately from that, are you adding any additional people to the teams to go after this new market opportunity in terms of the up market?
Chad Richison : Okay. I'll answer your last question first. And the answer to that would be, no. Our sales teams are the same size as they've been in the past. The only change we've made is allow them to go up to 2,000 to 5,000.
Craig Boelte: Yes, and in terms of the sales and marketing, we don't break up the marketing piece separately Mark, but we did see - we started running the ads towards the end of the third quarter so we had some cost in the third quarter but the majority of those are going to fall into the fourth quarter. I mean if you look at our full year adjusted EBITDA guidance, it's very similar to where we finished last year as a percent of revenue and yet we've been able to fit in this significant marketing effort.
Mark Marcon: I guess the question is the margin will be about similar, should we - I mean, and they're obviously impressive margins. So should we think on a go-forward basis basically that the EBITDA growth is basically going to be more in line with revenue growth or is there further potential for scale or leverage?
Chad Richison : You know, Mark, there's been quarters where we've spent millions of dollars on a national advertising campaign as we've talked about both third and fourth quarter of this year. And then there's been quarters where we've spent zero on this type of campaign. And so those are levers we pull. We pull those levers when we feel like we can gain market share and continue because we're growth Company and we're very focused on growth and we have great opportunity. And so, we're spending these dollars because we believe it's going to set us up very well for 2019. But it is a lever to the extent we spend the money we do expect the revenue. It is something we measure. If it works it's something we would do again. And early indications are things are going well. But it also should have a commensurate revenue achievement tied to it. So when you're talking about impact on margins, I think what we're really talking about as it relates to our fourth quarter guidance is, we're spending ahead of any revenue achieved. I mean the campaign's been going out on for a little bit now. I can't attribute one dollar in revenue to it, I can't attribute leaves and what have you. But you know our sales cycle and you know our conversion process. And so to think that we would start advertising toward sometime in third quarter and we would have already had revenue for that, obviously we wouldn't. And so this is about an opportunity that we believe we had, also it's an education piece. We are educating a new way to use HCM technology. And so that's what we're doing.
Mark Marcon: The reason for the question, Chad, was just basically the guidance would imply lower margins for the fourth quarter of this year relative to a year ago, and it does seem to me that you are spending ahead of the revenue when you've always successfully converted it. But I was just trying to get an order of magnitude or just understand that a little bit better.
Chad Richison : Yes, so I don't remember exactly the national advertising campaign. We had a smaller one last year. I don't know that it ran all the way through fourth quarter and it definitely wouldn't have been anywhere close to the type of the spend that we're doing on this type of advertising campaign. And again this is something that we talked about with our last earnings announcing.
Mark Marcon: And then last one, just in terms of moving up, did the sales force request that that they could move up?
Chad Richison : Yes, in 2008.
Operator: Next question will be from Brad Zelnick with Credit Suisse. Please go ahead.
Unidentified Speaker: This is Kevin on for Brad. Thanks for taking the question. Just on your go-to-market with this expanded base, will there be any change in the sales strategy for going after these customers up market or perhaps different incentive structures?
Chad Richison: No, there is not any change to the strategy now, when you're saying change to the strategy, there is an approach that you might take differently with a smaller business than what you are a larger business. When we're talking about a company that has 2000 employees or a company that has 4,000 employees, there is not much of a different approach on that. What can make a deal complex is not necessarily size, but oftentimes industry and certain portions of what they're trying to achieve on either the payroll labor, time and labor side and so I don't see any change to our model. And again this is something we've been doing anyway. So we're just making it official for the sales reps.
Operator: Next question will be from Corey Greendale with First Analysis. Please go ahead.
Corey Greendale: I wanted to ask about that topic as well with the - I just wanted to - I'm pretty sure you're saying no change in terms of how you're sort of bifurcating or splitting the sales force, in other words you don't add salespeople specifically going after the high end, just want to verify that that's true and is there any change in the profile of reps you're hiring or in the training or on-boarding process as you expand the addressable size?
Chad Richison: No change to any of that. The only change here is permission, which was already granted should someone call us.
Corey Greendale: So in terms of like managing sales cycle or how sales managers are working with reps, they say, hey, you should get like these quick hit victories with smaller customers and not totally focused on the high end, our only focus is anything like that happening in terms of tactics or coaching?
Chad Richison: No, I mean again we convert - we sold several deals in this range last quarter. We converted, implemented in their current clients this quarter. And so - and you can go back quarter-upon-quarter in the past and it's been the same. And so whenever you're doing a conversion, it's important to focus on each client individually and that's what we do. When it comes to conversion every deal is a snow flake. I mean they look like they're the same, but they're not.
Corey Greendale: And then just one quick one for Craig. The non-GAAP G&A increased more in Q3 than we ordinarily see, what drove that and what we should expect in Q4?
Craig Boelte: The non-GAAP G&A - sure, the non-GAAP G&A, one thing in that line is we had some additional headcount, as well as we brought the new building online. So we had some elevated levels there in Q3 due to the new building, which as a reminder, it's the same size as our other three buildings combined. So we had some additional costs Q3 and G&A as it related to bringing that building online.
Corey Greendale: I'm sorry, I mean, Craig, that we should expect, is that kind of a new run rate or was that more of one-time kind of stuff?
Craig Boelte: I mean we had some one-time, but I mean they're going to be some of those costs that are going to carry on for a while.
Operator: Next question today will be from Shankar Subramanian with Bank of America Merrill Lynch. Please go ahead.
Shankar Subramanian: Thanks for taking the question and congrats on the results. So just on the Q4 guide and how your business is trending in October. It seems like you had a pretty solid June quarter and obviously then a really good September quarter, but how should we think about your near-term business conditions to you. On a year-over-year basis, do you see the same kind of strength in the end market. Just to for us understand, is there any conservatism in the revenue guidance?
Chad Richison: I mean I will say this, we haven't changed the way we guide and I think if you look at our guidance in the past, it would kind of reflect that as a matter of fact, I think for this quarter that we're in right now, our initial guidance was 28%. We continue to guide to what we can see, we don't always control when a client converts and the only way for us to record revenue for that new client is after they convert. And actually payers start paying us for the fees for our service and so.
Craig Boelte: And I would say the other thing in terms of the fourth quarter guidance, the fourth quarter is typically a little bit seasonal for us and so what happens in fourth quarter November and December specifically, as you'll have companies run off cycle payrolls as it relates to bonuses and personal use of auto, those type of things. So as we're sitting here guiding, we have a good idea on what we think those off cycle payrolls will be, but you just never know as well as where we brought on a lot of new clients this year. So we don't have the history of how they run those payrolls yet.
Shankar Subramanian: So the follow-up, so I did a survey in September for 200 Paycom, your customers and about 20% of them are in the 2,000 to like 5,000 employee range. And so it's not be a surprise that you are expanding the market, but could you help me understand kind of from a product perspective, is there any difference between the employee segment of 2,000, 5,000, what they buy and use versus the 50 to 2,000?
Chad Richison : Now, 50 to 2,000 is a wide range. I think you can start seeing some difference in usage between - I mean, it's so much of it. I'll tell you - so much of it is really dependent upon industry and what someone is trying to achieve. I mean we're going to approach a 4,000 employee quick-service restaurant differently than we are a 600 employee hospital that has shift differentials and what have you which is going to be different than a 400 employee construction company that has a labor distribution, burden factors and everything else. And so again size does not necessarily dictate complexity. I will say it is most often that your larger companies have more complex situations, because everything applies. But as far as our approach to sales and what we're doing and as far as the readiness of our product, it's been ready for a long time. So this isn't something that we have to go develop anything different or retrain sales forces. We're not going to see any changes to our conversions. This is what we do. And so - and again we've been in this business a long time in this market.
Shankar Subramanian: Just one last question. Any update around the new office openings? Are you going to be doing more toward the end of the year? Are you going to be like looking next year or two revisit the new office openings?
Chad Richison: Yes. Just as in the past, we have not guided on exactly when we're opening up offices and where for competitive reasons and plus we want our own people know first. But we will continue to open up offices over the next 12 months.
Operator: Next question will be from Brian Schwartz with Oppenheimer. Please go ahead.
Brian Schwartz: Yes. Hi, thanks for taking my question. Chad, I've got a different question. It's a philosophical question around the up-selling motion and maybe opening up more skews in the future of the business that I want to ask you. The retention metrics of the business results in general. You're clearly having success adding a lots of new customers and you seem very pleased with the direction of promoting the self-service usage of the technology and having the direct access and direct relationship with the database. So the thought process is, if you're creating greater awareness of the usage of the platform technologies already within the installed base, then why not start considering creating new skews in an upselling motion? I would imagine there's a lot of need for HCM technologies that you could build and easily sell into the installed base as you push the usage there. Thanks.
Chad Richison: Yes. One thing I would say is, we have, I believe, 26 modules right now. And so we started with payroll and we've continued to add to that. We've got a strong value proposition right now. Especially as it relates to the client's ability to maximize and - their ROI through their employee base. And so I'll give you one - a very small example. Five years ago, I was walking into a video store and getting it off the wall, handing it to the counter there, where I was getting - paying my fee, I was taking it home, watching it with the kids, returning it the next day. Today, I have a direct relationship with the database as a consumer. And I sit on my couch and do it. And that's better for me. And that's also better for that business that I mean we are facing with. That's the way people use technology everywhere in the consumer-based world. And then they go to work and we go back to the counter. And so we realize it to shift. It's different than what people are used to. We're having great success with it. And we're showing clients, how they can drive even further ROI with this type of usage and so we're very focused on it.
Brian Schwartz: Yes, I guess I'll squeeze in a follow-up one to you, Chad. Just considering that your customer base is very broad and diverse, can you just share from a big picture view if you see any tailwinds or headwinds from mid-market HCM technology spending in 2019 just based on the pipeline momentum and the conversation that you are having with the customers? Thanks.
Chad Richison: Yes, I would say if someone's going to - it's just going to be a spend for companies, they probably won't do it and shouldn't do it regardless of what the other economic environment looks like. For Paycom, we drive ROI. So what someone spends with us, we're looking to give them back through use cases throughout the software. If you're asking me what's the demand out there, I'm not noticing anything that shows a decreasing demand for this type of technology or really automation anywhere within business.
Operator: Next question will be from Ryan MacDonald with Needham & Company. Please go ahead.
Ryan MacDonald: Congrats on the nice quarters here. I guess you mentioned earlier in your comments about this move upmarket that you've been pulled through by request typically. Can you just talk about, I guess, in those certain situations sort of how the demand for maybe breath or depth of product has changed when you're pulled into those situations and maybe how that impacts? I don't know if it's investments in implementation headcount or customer success headcount going forward as well.
Chad Richison: Yes, so you can be pulled into a deal, because a person that used to at one company, got a job at another company and now they are running that company's department and they are very familiar with your product that they used at the prior company and they bring you in. You can be pulled into a market by an employee that uses the product and has influenced with that company and brings you in that way. In all cases though, these clients are looking at our current product and offering. It's not that we are offering them something different than what we are offering the others. It's just we've always had a very robust suite of products. I'm not just going to be honest with you that the usage on a lot of these products oftentimes has been lower and I believe that's across the industry, that's not a Paycom phenomenon, but oftentimes it's easier to sell someone the brochure, then to get them to actually use the product that's there that drives ROI. We've been working on that now for - as you guys know, I've been talking about it now for several years and we're continuing to drive that. And I don't see any area in which it would require different implementation needs except for the fact that it's more of the same that we're doing.
Ryan MacDonald: And then just a quick follow-up. I'll squeeze in my quarterly question around learning management and sort of what you're seeing from increased usage trends on the content that you've developed and perhaps how that's guiding your strategic vision there as we look out to next year for additional content as well?
Chad Richison: Yes, learning management, so much of it is dependent on the client and what they're looking to achieve, sometimes you get a little help as we just saw with the State of New York, I believe, now has a mandate for employees on going through both diversification or anti-discrimination as well as sexual harassment training, that becomes helpful to us as things become mandated, specific trainings become mandated. So far learning management is really about those clients that want to achieve these types of training initiatives among our group. We do see a lot in the upmarket. That is a product that you're going to see a lot in the upmarket, because it is difficult to train people in decentralized environment if you do not have some type of learning management system. And so we are continuing to look through our LMS system and what else we can offer with that, but we're also having success with what we're offering today.
Operator: Next question will be from Ross MacMillan with RBC. Please go ahead.
Unidentified Analyst: This is [Alan] for Ross. Thanks for taking my questions. Congrats on the quarter. Chad, just wanted to clarify a comment you made earlier on building pipeline as a result of this ad campaign. I'm not super familiar with effectiveness of national ad campaigns, but you've run smaller ones in the past. Is there any kind of a rule of thumb you think about for a multiplier effect like X amount of dollars goes into ad spend and just spit out why dollars in revenue, call it, six months out or a year out or is it more of a brand and impression thing and it's not quite as quantify both.
Chad Richison: Well, I would say, it's what you mentioned plus adds both drive results from you from a leads perspective. They oftentimes soften the beach for the calls you're going to be making also, as well. As well as deals that you're in currently, branding can help move them along. And so you've got to really look at it in all areas. But look, traditionally, we have been a company that's focused on an advertising spend. I believe this is an area where it's going to be positive for our results because again we're advertising. I've never seen an HCM product for our type of industry, including the payroll side that really focuses on the employees experience with the product. I'm not saying one doesn't exist. I'm saying I've never seen one. And so this is the first of its kind. And so we are also advertising a new way. There is a shift here. We are advertising it. We've been focused on it. I have been saying now for about nine months that we might be early with this strategy, but we're not wrong. I'm going to be able to eliminate we're early with it at some point. So we've been focused and we're going to see how it does. Early indications are, it's doing what we expect it to do.
Unidentified Analyst: That's great. And I guess just wanted to squeeze another one in on this move of market. You mentioned obviously many different ways that you can get a larger customers into the pipeline. But one thing I'm curious about, do you get pulled in as, call it, larger customers open up RFPs? And all I'm trying to get here is, does it change the nature of the competitors that you're facing, right? And just thinking out loud ultimate or base for us tends to play more in that upper 2k to 5k range. And I'm wondering if competitive sale process is different from being pulled up market organically. Just anything you can speak to on that font would be helpful.
Chad Richison: Yes. First, I'll say that we continue to be pulled up market for companies that have above 5,000 employees as well, and we still do sell in that market. As far as - are we going to see competitors more, I mean I would expect we are going to be seeing their client base more as we go in and talk to them about our solution in the 2,000 to 5,000 employee market, because we're going to be proactively targeting it. And so, yes, I mean I would expect we're going to definitely be seeing more of their installed base.
Operator: Our next question will be from Nandan Amladi with Guggenheim Partners. Please go ahead.
Nandan Amladi: Thanks for taking my question. So, Chad, you talked about your new marketing campaign. Today, what share of your leads come through, any sort of digital channels versus just sort of hit on the street type degeneration? And what…
Chad Richison: Yes. well I mean if I could figure that out, specifically you never really know - you can be pitching someone for a while and then they haven't talked to you for a year and then they come in as a lead. Well, where did that lead start by the person that actually call them. You can be sending someone marketing material and then a lead comes in. And so oftentimes, you got to hit these all over these businesses in order to advertise what you're doing. And we've often done that through, I would say very light on advertising, to be honest with you. Ours is more of a direct marketing campaign efforts, which we've always done, as well as this is a high-tech sell that we have to go in and do analysis and what have you. And so we are still a direct sales model and this advertising campaign is there to support that model, not to replace it.
Nandan Amladi: And from an R&D perspective, as you look out, but you said you have 26 modules in the portfolio already. How much more is left to build, you think, particularly as you go after the 5,000 segment now more resolutely?
Chad Richison: I think the more you get companies to use these products, the more use cases develop, which increases opportunity for you to deliver more value to businesses by developing additional product sets.
Craig Boelte: And I would say, our R&D has continued to increase. And like Chad says, we continue to build out more products, we're going to continue to spend on R&D. And one thing too kind of as a housekeeping matter that haven't been able to jump on the call to take clearup is, stock comp for the third quarter was around $4.5 million, want to make sure kind of as we're doing modeling for fourth quarter that we keep that around that same level.
Operator: At this time, this will conclude today's question-and-answer session. And with that I would like to turn the conference back over to Mr. Chad Richison for any closing remarks.
Chad Richison: Alright. Well, thank you to everyone joining us on the call today. Over the next two months, we'll be on the road meeting with investors at the following conferences. We will be at the Credit Suisse Technology Media and Telecom Conference in Scottsdale, Arizona on November 27. And then we'll be at the Barclays Global Technology Media and Telecom Conference in San Francisco on December 5. We appreciate your continued interest in Paycom and I look forward to meeting with all of you soon. Operator, you may disconnect.
Operator: The conference is now concluded. I want to thank everyone for attending today's presentation. And at this time, you may now disconnect.